Operator: Greetings, and welcome to the Cemtrex First Quarter 2024 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. Before we begin the formal presentation, I would like to remind everyone that statements made on the call and webcast may include predictions, estimates or other information that might be considered forward-looking. While these forward-looking statements represent our current judgment on what the future holds, they are subject to risks and uncertainties that could cause actual results to differ materially. You are cautioned not to place undue reliance on these forward-looking statements, which reflect our opinions only as of the date of this presentation. Please keep in mind that we are not obligating ourselves to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. Throughout today's discussion, we will attempt to present some important factors relating to our business that may affect our predictions. You should also review our most recent Form 10-K and Form 10-Q for a more complete discussion of these factors and other risks, particularly under the heading “Risk Factors”. A press release detailing these results was issued this afternoon and is available in the Investor Relations section of our company's website, cemtrex.com. Your hosts today are, Saagar Govil, Chief Executive Officer; and Paul Wyckoff, Chief Financial Officer, will present unaudited results of operations for the first quarter ended December 31, 2023. At this time, I will turn the call over to Cemtrex’s Chief Executive Officer, Saagar Govil.
Saagar Govil: Thank you, Operator, and good afternoon, everyone. I'm pleased to welcome you to today's first quarter 2024 financial results conference call. The first quarter of fiscal year 2024 was highlighted by the company's realignment and operating performance improvement. For the first quarter, Cemtrex had revenue of $16.9 million, an increase of 41%. For the first quarter, our gross margin held at 42%, supported by operational improvements. We continue to expect increases in our gross margin going forward over time as we make further enhancements in our business. During the quarter, we took additional steps to reduce operating expenditures, including a $1 million reduction in our overhead in our security segment that should start to be realized in our fiscal second quarter going forward. Operating loss for the first quarter improved to $0.7 million, compared to an operating loss of $2 million a year ago. We also believe that there's room within our inventory and asset base to draw extra liquidity in order to maintain a healthy cash position. Revenues in our security segment were led by Vicon with first quarter revenues improving 31% to $9.2 million. Vicon orders during the first quarter reflected its ability to capture repeat customers with a recent $0.8 million second phase order from a current school district customer in New Jersey to develop its security technology system with new solutions, expanding on the customer's previous order. Vicon's award-winning Roughneck cameras and Valerus video management software solutions are being chosen to meet the unique challenges and locations ranging from border protection, correction facilities, and schools that require an advanced solution of technologies to monitor people and protect areas. Increasing modernization of the current security infrastructure is accelerating the growth of the border security market, driven by the rise of geopolitical instabilities and an increase in border threat. As customers seek to modernize their current security infrastructure, Vicon continues to stand out with its advanced technologies and products. Vicon launched a new cloud security platform called Anavio that integrates video access and intercom in one easy-to-use system powered by AI and face-based authentication. This new cloud platform allows us to create more value in our business overtime by evolving Vicon into a recurring revenue business model. Additionally, with AI at the core of our roadmap and Anavio, we're excited to layer in new capabilities and benefits for our customers to deliver the most cutting-edge security solutions over the months and years to come. With the launch of Anavio, along with continued improvements to our core software platform, Valerus, we expect to drive further growth and see additional opportunity to grow gross margin percent in 2024. Revenue for our industrial services segment, AIS, increased 55% to $7.7 million. The increase was mainly due to an increased demand for our services and supported by the close of our highly synergistic acquisition of Heisey Mechanical. This continued growth was highlighted by our recent announcement of $3.8 million in new orders for two projects, including a $2.2 million order for a geothermal system update for a northeastern school district and a $1.6 million order for the fabrication of a key component for a motion control technology company. AIS continues to build profitable revenue growth with additional wins in new government and industrial verticals in a variety of service industries and new geographies. I'll now turn the call over to Paul Wyckoff, CFO, to discuss financials. Paul?
Paul Wyckoff: Thank you, Saagar. Revenue for the first quarter of 2024 and 2023 was $16.9 million and $12 million, respectively, an increase of 41%. The Security segment revenues for the first quarter of 2024 increased by 31% to $9.2 million. The Security segment increase was due to an increase for demand for security technology products under the Vicon brand. The Industrial service segment revenues for the quarter increased by 55% to $7.7 million, mainly due to increased demand for the segment services as well as additional revenue due to the Heisey acquisition. Gross profit for the first quarter of 2024 was $7.1 million, or 42% of revenues, as compared to gross profit of $5 million, or 42% of revenues, for the first quarter of fiscal year 2023. Total operating expenses for the three months ended December 31, 2023, were $7.8 million compared to $7 million in the prior year's quarter. Operating loss for the first quarter of 2024 was $0.7 million as compared to an operating loss of $2 million for the first quarter of 2023. The improvement was primarily due to an increase in the gross profit for the period due to growing revenues in both segments of our business. Net loss for the first quarter of 2024 was $1.2 million as compared to a net loss of $6.3 million in the first quarter of 2023, an improvement of $5.1 million. Cash and cash equivalents and restricted cash totaled $4 million at December 31, 2023, as compared to $6.3 million at September 30, 2023. Inventories decreased to $7.9 million at December 31, 2023, from $8.7 million at September 30, 2023. I will now turn the call back to Saagar for a review of our 2024 outlook.
Saagar Govil: Thank you, Paul. Looking ahead, we are highly focused on delivering larger operating profits by driving top-line growth while maintaining tight cost control measures in our two operating businesses. Vicon has the ability to disrupt the status quo of how the security industry traditionally operates with its Anavio next generation, state-of-the-art surveillance cameras, and VMS software. Along with its next-generation technology, Vicon's evolution into a recurring revenue business model will help drive additional market share gains. AIS is rapidly expanding into new markets and customer opportunities supported by its recent acquisitions. We also continue to explore additional acquisition opportunities that could drive further growth and expansion within our business segment. Looking ahead, we are focused on delivering attractive operating results, driving growth, and combined with tight expense control, are committed to achieving positive operating income in fiscal year 2024 on a full-year basis. We are confident that as we stay on this path, we can deliver strong long-term value for our shareholders going forward. Thank you all for attending, and now I would like to answer your questions. Operator?
Operator: Thank you. [Operator Instructions]. Our first question is from Larry Holub with Holub Family Office. Please proceed with your question.
Larry Holub: Thanks for taking my question, and I just want to say congratulations on the Q1 pipeline performance. My question is, for the security and industrial segments, what drove the strong performance, and do you see the same trends continuing in the fiscal second quarter?
Saagar Govil: Thanks for the question, Larry. So, I think within both of our businesses, maybe I'll start with each one at a time. So, in our security segment, I like to look at things both at the macro level and the micro level. So, at the macro level, we continue to see strong tailwinds as organizations, both big and small, continue to make security a priority, and that's just a reflection of the environment that we live in and the times. So, security continues to remain a big, big priority, and we're continuing to see investments made to upgrade security solutions, expand security infrastructure, and continue to invest in the latest and greatest technologies. So, I think that's what's happening in the background. At the organization level, I think Vicon's doing a lot of great things. We're continuing to put out new products, upgrade old products, and continue to stay really competitive in the market with our award-winning Roughneck cameras. Valerus is continuing to win the hearts and minds of our customers, and so we're seeing a lot of expansion opportunities with that core product that we've been continuing to make better every day. And then, Anavio, really, we just started the marketing and sales activities for Anavio, so we're starting to ramp that up really this quarter. So, we're already getting interest from customers, and we're starting to ramp that up. And so, all of these things are kind of layering on top of each other to build really positive momentum for the company. So, we're excited about that, and I think that allows us to have confidence going forward that Vicon will continue to grow on the order of 15% to 20% on average over the next couple years. So, we're feeling really good about that. On the industrial side of our business, we continue to see at the macro level that demand for industrial services continues to trend higher. We're not seeing any weakness from that regard, which gives us, again, confidence that the outlook remains positive for us. As reshoring of manufacturing back to the United States, investment in infrastructure here in the U.S. all contribute to the growing demand for industrial services and capabilities, which AIS is a leader in. And so, that's really what's happening, in sort of the larger picture. And then, organizationally, again, AIS is operating on all cylinders. The integration of the acquisition has gone really well, and we're continuing to see that drive growth at the top line as well as at the operating income line with the business. So, overall, we're quite pleased with the results, and we're optimistic and hopeful that that'll continue to happen as we go forward. And then, we're going to continue to look for additional bolt-on acquisitions that could continue to drive further growth in that segment as well. So, I think it's on both sides of the business, there's a lot to be excited about.
Larry Holub: Great. Thank you. My second and last question, how should we think about operating income for Q2, given the slight sequential decline? And then, because I think, we touted the third consecutive quarter of operating income in the last reporting period.
Saagar Govil: So, a couple things to point out there. Operating income didn't land where we were hoping it would. There were some one-time expenses that we encountered in this past quarter, some of them around payroll expenses and so forth. So, I think, in general, the quarter was a little bit higher than the priority quarters from an OpEx perspective. So, that certainly contributed to that. I don't expect subsequent quarters to have as high of an OpEx because of the timing of some of those expenses. And then, on top of that, we did reduce overhead by about $ 1 billion and change or so, give or take. So, that should also continue to make, profitability a little bit more manageable and a little bit, as we continue to grow and really tuck those profits into our belt. So, that's in terms of how we think about it. So, I think, overall we remain committed to having an operating profit this fiscal year. Our business is, unfortunately, a little bit lumpy. So, it's always hard to predict exactly when, orders will land and get booked and invoiced. But, based on the overall macro picture and the overall environment, we still feel good about that despite, the loss in the first quarter.
Larry Holub: Great. Thank you.
Operator: [Operator Instructions] Thank you. There are no further questions at this time. I would now like to hand the floor back over to Mr. Govil for his closing remarks.
Saagar Govil: Thank you, operator. I would like to thank each of you for joining our earnings call today and look forward to continuing to update you on our ongoing progress and growth. If you have any further questions after this call, please feel free to reach out to our IR firm, MZ Group, who would be more than happy to assist and get your questions answered. Thank you for your time.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.